Operator: Welcome to IDACORP First Quarter 2022 Earnings Conference Call. Today’s call is being recorded, and our webcast is live. A complete replay will be available later today and for the next 12 months on the IDACORP website. [Operator Instructions] I will now turn the call over to Justin Forsberg, Director of Investor Relations and Treasury.
Justin Forsberg: Thank you, and good afternoon, everyone. This morning, we issued and posted to IDACORP’s website our first quarter 2022 earnings release and Form 10-Q. We’re also pleased to point you to our latest environmental, social and governance report, which we published last month. This report highlights many areas that define our company’s culture, such as our stewardship of the Snake River as well as Wild and aquatic life and safety, integrity and respect as company values. While we have published this type of report for several years, this is the second year we have reported metrics and disclosures utilizing the Sustainability Accounting Standards Board and a task force on climate-related financial disclosure reporting frameworks. We also continued our disclosure of EEI standardized ESG metrics. You can find our ESG report on IDACORP’s website under the About Us page then by clicking on ESG information. We think you will be happy with the company’s direction and accomplishments that are highlighted in the report, and we welcome your feedback. The slides that accompany today’s call are also available on IDACORP’s website. We will refer to those slides by number throughout the call today. As noted on Slide 2, our discussion today includes forward-looking statements, including earnings guidance and spending forecasts which reflect our current views on what the future holds but are subject to several risks and uncertainties. This cautionary note is also included in more detail for your review in our filings with the Securities and Exchange Commission. These risks and uncertainties may cause actual results to differ materially from statements made today, and we caution against placing undue reliance on any forward-looking statements. As shown on Slide 3, on today’s call, we have Lisa Grow, IDACORP’s President and Chief Executive Officer; and Brian Buckham, IDACORP’s Senior Vice President and Chief Financial Officer. In addition to Lisa and Brian, we have other members of our management team available for a Q&A session after Lisa and Brian provide updates. Slide 4 shows our quarterly financial results. IDACORP’s 2022 first quarter earnings per diluted share were $0.91, an increase of $0.02 per share from last year’s first quarter. The first quarter results are IDACORP’s highest in more than 2 decades. Today, we also affirm our previously issued full year 2022 IDACORP earnings guidance estimate to be in the range of $4.85 to $5.05 per diluted share with our expectation that Idaho Power will not need to utilize this year any of the additional tax credits that are available to support earnings under its Idaho Regulatory Settlement Stipulation. These affirmed estimates assume historically normal weather conditions over the balance of the year. I’ll now turn the call over to Lisa.
Lisa Grow: Thanks, Justin, and thank you to everyone joining us on today’s call. I’ll begin my remarks with an update on customer growth, which remains strong across the Idaho Power service area. As noted on Slide 5, our customer base has increased 2.6% since the first quarter of last year as Idaho continues to be one of the fastest-growing states in the nation according to U.S. Census data. The economy within Idaho Power service area also continues to outperform national trends. Moody’s predict sustained economic growth going forward. The forecast calls for GDP growth of 2.4% in 2022 and a robust 5.1% in 2023. Unemployment within Idaho Power service area is at 2.7%, below the 3.6% reported at the national level. Employment in our region has grown approximately 7.8% since Q1 of last year. New connection requests continue to come in at a steady pace. In addition to the 960,000 square foot Meta data center facility announcement, we mentioned during the Q4 earnings call, several large load customers announced projects in Idaho Power service area during Q1 of this year. Examples include the Stowe Company, which plans to build a 550,000 square foot manufacturing plant for its Deposit & Storage Solutions business and the new Red River Logistics Center near [indiscernible], which at 900,000 square feet would become the largest industrial spec building in Idaho. The spec building that has been taking place is to us, reflective of the confidence of developers in the continued in migration of businesses to Idaho. We are also working to formalize a new rate class for large-scale cryptocurrency mining customers, which we believe would help mitigate financial risks for the company and our other customers. The new rate class will establish parameters for speculative high-density low customers evaluating Idaho Power service area for operations. We currently have not forecasted significant cryptocurrency mining mode in our forecast. But given the level of inquiries we have experienced in the past, it is important for Idaho Power to address items like interruptible service and separate pricing for this class as we are already building our considerable infrastructure to meet existing loan growth. Turning to Slide 6. Idaho Power continues to pursue its Clean Today, Cleaner Tomorrow goal of providing 100% clean energy by 2045. Our 2021 IRP contemplates Idaho Power ending coal operations at the Jim Bridger power plant by the end of 2028, which will be the claiming coal units in our fleet. We’ve made a filing in Idaho requesting recovery beginning June 1 of this year of an accelerated depreciation schedule for all coal-related investments at Bridger. In the meantime, we are working with our co-owners and regulators to convert Bridger Units 1 and 2 to cleaner natural gas by 2024 to operate through 2034. This conversion would help meet regional combine targets and reduce carbon emissions while continuing to ensure reliable electric service for customers. We have removed the anticipated GAAP-related assets from our regulatory requests. As I have mentioned on recent earnings calls, a critical part of our clean future depends on enhanced transmission. We remain very focused on the ultimate success of the Boardman to Hemingway project for which we noted last earnings call, Idaho Power signed a nonbinding trend sheet with B2H with other 2 participants, Bonneville Power Administration and PacifiCorp that would transfer BPA share of the project item Power. We still expect to finalize B2H turning by the end of this year, with the line plan to be in service no earlier than 2026. We also awarded a contract for construction consulting services and are working on definitive agreements with the co-participants for our purchase of EPA shares. Idaho Power recently announced plans to install 120 megawatts of battery storage to help maintain reliable service during periods of high demand while moving us toward our clean energy goal. Batteries, which would be the first utility scale storage arrays in Idaho were requested in last week’s Certificate of Public Convenience and Necessity filings with the Idaho Commission. The batteries are scheduled to come online by June 2023 and would help fill Idaho Power’s additional 2023 energy capacity resource needs mentioned during previous calls. The project is the result of the RFP we issued last June. To help address the capacity deficits projected in the IRP for 2024 and 2025, Idaho Power has December. In March, we received more than 50 proposals in response to that RFP, including our own self-build auctions, and we will be analyzing these submissions over the next several months. Depending on the RFP results, the timing of project in service dates and the outcome of regulatory proceedings, Idaho Power expects it could invest over $400 million in capital expenditures from 2022 through 2025 for these resource additions to help meet the projected capacity deficit. Our power resource needs continue to evolve, and we hope to have more to share later this summer. As Brian will discuss in a moment, effective cost management remains a key component of sustaining our financial success. As we’ve accomplished in the past, we are striving to keep our operations and maintenance expenses relatively flat with last year. I appreciate our employees’ efforts to control costs and operate within budget as we work to address growth in our service area and the inflationary pressures we are all experiencing. On our last earnings call, we acknowledged the approaching need for Idaho Power to file a general rate case in Idaho and Oregon. While we have begun planning for our near-term general rate base, a variety of factors, including our expected growth in rate base, in-service dates of major capital investments, effective cost management and economic conditions and their influence on customer growth projections all play significant roles as we evaluate the need and timing of future general rate bases. Slide 7 shows the recent outlook of precipitation and weather from the National Oceanic and Atmospheric Administration. Current weather projections for June through August suggest we will likely see warm drive conditions this summer. Drought conditions remain across our service area. And while some late arriving snow in April and now into May, have helped boost our snowpack and reservoir storage numbers. projections for the clean, low-cost hydro generation that has traditionally been our largest single generation resource remain on the low side. With our updated 2022 hydro forecast currently estimating between 5 million and 6.5 million megawatt hours. With that, I will hand things over to Brian for a financial overview.
Justin Forsberg: Thanks, Lisa, and good afternoon, everyone. I’ll start my portion on Slide 8, where you’ll see our first quarter 2022 results compared to Q1 of last year. We’ve had a solid start to the year results compared to Q1 of last year. We’ve had a solid start to the year. We’ve seen continued strong customer growth, positive weather impact on sales, higher transmission wheeling revenues and a return to more normal economic activities for commercial and industrial customers. That was offset by higher operating and maintenance expenses coming off what I would consider an abnormally low first quarter last year, which I’ll explain in more detail later. And as Justin mentioned, I had booked its first quarter earnings this year were the highest for a first quarter in 21 years. In the table of quarter-over-quarter changes, you’ll see that customer growth added $3 million to operating income. We expect this growth to continue as more people and businesses continue to locate to our service area to live and do business. The state of Idaho has been marketing its business-friendly environment and quality of life and from the sustained in migration, people and businesses seem to be responding to that. And next on the table, rise in heating in 3 days over the first quarter of last year led to 8% higher residential for customer usage, while increased economic activity led to a 4% increase in usage for commercial customer and a 5% increase in usage for industrial customer. Part of the increased economic activity relates to nonpandemic conditions existing for commercial and industrial customers in this year’s first quarter compared to last year. You’ll note on the table that the combined usage changes led to a $9.3 million increase in operating income. The $5.9 million decrease in Idaho Power’s fixed cost adjustment mechanism revenues offset the benefit of increases in residential and small commercial customer usage. Further down on the table, you’ll see a $1.6 million decrease in operating income from the change in per megawatt hour revenue. That’s net of tower slight cost and power cost adjustment impacts year-to-date and the decrease mostly relates to the amount of net power supply expenses including higher fuel costs that were not deferred for later recovery through Idaho Power cost adjustment mechanisms. Recall that Idaho customers generally bear 95% of power supply cost fluctuations over a base amount. Two new long-term wheeling agreements that were executed in April of last year contributed to higher transmission wheeling related revenues in Q1 of this year, which ultimately increased operating income by $2 million. Those wheeling agreements run through March of 2024. And wheeling customers also more for transmission wheeling as Idaho Power’s transmission tariff rate increased in October of last year to reflect higher transmission costs. Next on the table, other operating and maintenance expenses increased by $6.4 million, returning to what I would call a more normal level. Looking back in the first quarter of 2021, we had reductions in O&M costs jointly owned coal plants as well as COVID-19-related savings in areas like employee travel and training. And the comparative increase this year was also due to a planned maintenance project of the LaLiga Natural Gas Plant and inflationary pressures on labor-related costs and professional services and supplies. But for some additional context about returning to a more normal typical level of O&M, first quarter 2022 O&M was only 2.5% higher than the first quarter of 2020 and only 3.6% higher than the first quarter of 2019. So it shows how Q1 2021 was somewhat of an anomaly. A decrease in nonoperating expense, which was related to higher allowance for funds used during construction, and some investment income in the Rabbi Trust riders’ nonqualified pension plan led to a $2.7 million increase in earnings. And finally, as you can see on the table, income tax expense increased just shy of $1 million this quarter, and that’s due mostly to greater pretax income. So all of those changes in the aggregate resulted in an increase in IDACORP’s net income of $1.5 million or $0.02 per share for the quarter. You’ll note that on our first quarter -- our first quarter CapEx has increased by 33% over what we spent during the first quarter of last year as we expected. The bulk of that additional CapEx relative to last year and relative to our historic spending level is for our battery storage project and some natural gas plant upgrades to obtain some additional output and efficiency from the units. As we look at our CapEx forecast for this year, we think much of the potential inflationary impact is mitigated based on contracts already having been signed for the batteries and for some of the work, but continued inflation will most likely impact our noncontracted products and services going forward, seemingly like everyone else. And with that spending in mind, I’ll point you to Slide 9 for a look at available liquidity and funding capacity. IDACORP and Idaho Power continue to have strong balance sheets, including investment-grade credit ratings and sound liquidity, we expect these factors to enable us to fund our growing CapEx and also deliver on our dividend plan to shareowners. IDACORP’s operating cash flows and liquidity position as of the end of March are also shown on Slide 9. Cash flows from operations in the first quarter were about $9 million higher than the same period in 2021. The increase was mostly related to the timing of payments included in other current liabilities’ balances. The liquidity available under IDACORP and Idaho Power’s spread facilities as shown in the middle of Slide 9. At this time, we still don’t anticipate issuing any equity outside of our compensation plans in 2022. And we generally target a 50-50 capital structure at Idaho Power. As we work to fund our upcoming capital plans, as we mentioned on the last earnings call, we plan to primarily finance the execution of those projects with that at least until the ratio is closer to target. Slide 10 shows our full year 2022 earnings guidance, which we affirmed today and our current key financial and operating metric estimates. As Justin noted earlier, we still expect IDACORP’s 2022 earnings to be in the range of $4.85 to $5.05 per diluted share. This guidance assumes normal weather and economic conditions for the balance of the year, and our guidance still also assumes Idaho Power will use no additional tax credits in 2022 under the Idaho Regulatory Stipulation, which, as a reminder, provides earnings support in the Idaho jurisdiction at a 9.4% return on year-end equity. We continue to expect our full year O&M expenses to fall in the range of $355 million to $365 million. And as we’ve managed to accomplish in the past, we’re working to keep O&M relatively flat last year. Keeping up with the level of customer and load growth we’re experiencing in our service area, along with the continued inflation that I mentioned earlier, and Lisa also mentioned, make that more challenging. But even given the planned maintenance at as well as general wage increases. First quarter O&M has only seen just over a 1% average annual growth rate over the past 3 years and we remain committed to our long-standing efforts to operate efficiently and control our O&M expenses. Our expectation on 2022 CapEx spending continues to be in the range of $480 million to $500 million though at this point, I’d say we’re more likely to be at the higher end, if not potentially a little over the top of the range. And finally, as Lisa already discussed, given our most updated forecast to stream flows, we lowered our expectations on hydro power generation for the year as they were fortunate to have adverse portfolio of power-supplied resources as we head into the summer months. And with that, Lisa and I and others on the call are happy to answer your questions.
Operator: [Operator Instructions] Your first question comes from Paul Zimbardo with Bank of America.
Paul Zimbardo: I want to kick it off since you mentioned the crypto tariffs. Just if you could discuss how some of those conversations have evolved with the potential off-takers? I know you had that regulatory filing where it didn’t appear like there was a lot of initial uptake. So just curious how those conversations have been going.
Lisa Grow: I’ll start, and then I’ll turn it to Tim to talk about regulatory and Adam to talk about sort of the business development side. Certainly, we’ve had conversations over the years with cryptocurrency that have interest in sitting in Idaho. However, they generally need to move fast, need to find the lowest rates they can find, and we really just haven’t ever come to an agreement that met everyone’s needs. So we wanted to make sure, given the amount of inquiries that we were getting that we were just setting it up to mitigate risk. So we -- the company didn’t assume risk and neither did the rest of our customers, given that these folks can come in and out of our service area pretty quickly. So do you want to start, Adam, with that, and the...
Adam Richins: Yes, that sounds good. Yes. I mean we continue to see a steady flow of inquiries, I think, after the filing. And we’ve seen a couple small commercial hookups, but we haven’t seen anything major come on the system. Again, the inquiries are coming, but the actual hookups just haven’t made it there.
Tim Tatum: Yes. Paul, this is Tim Tatum, Vice President of Regulatory Affairs. So the case at this point is fully submitted. We received favorable comments from the commission staff supporting our filing. We’re just now awaiting a commission order at this point.
Brian Buckham: And Paul, one thing I’d note on the cryptocurrency side is there seems to be quite a bit of price sensitivity associated with that in terms of the inquiries scale based on the price of cryptocurrency. So I think a lot of crypto miners have a model in their mind in terms of electric power being one of the primary inputs to their cost structure -- so if you see prices go down, certainly, interest goes down and as price accelerates or goes up, on cryptocurrencies you tend to see more interest.
Paul Zimbardo: Yes, absolutely. Okay. I appreciate all that. And then the other question I had unrelated, and congrats on keeping the O&M impact with the new pressures. Just curious how the new inflationary environment could potentially accelerate that rate case even a little bit faster than you thought before? And just how you think about the subsequent rate case cadence because I know you talked about some of the commercial service dates and things like that. So kind of beyond what the bigger picture strategy would be, that would be helpful.
Lisa Grow: Do you want to start?
Brian Buckham: Sure. I can take that. Thanks, Paul. So on the O&M side, looking at where we’re at now, we’re holding to our guidance of the $355 million to $365 million. We ended 2021 at $361 million. Inflation is certainly having an impact on that. It’s putting pressure on it. We’ve seen labor increases. Obviously, we’re seeing some increases from our -- from suppliers as well. I would say some of the inflation we’re seeing is on capital projects as well, which I mentioned we’re looking at a range of our capital, and we could be a little over the top, as I noted. In terms of how that might impact our rate case, we’re actually looking at factors like the timing of the in-service date of some of our resources as being primary drivers of the timing and rate cases. So some of that higher capital expense while we’re trying to keep it low, obviously, to keep customer rates low. There is a bias towards those capital projects pushing into a rate case and as prices go up, there’s a potential for accelerating. But I would really send it more in the near term to the in-service date of some of those larger capital projects like the battery storage project we have and some of the things like Health Canyon licensing and [indiscernible] as those projects come on.
Operator: Your next question comes from Brian Russo with Sidoti.
Brian Russo: I noticed trailing 12 months customer growth is 2.6% as of March might be getting too granular, but I recall that 12 months ended December was 2.8%. Any brief through there?
Lisa Grow: At this point, it’s hard to tell. One quarter certainly doesn’t make a trend. And we’re not sure at this point if some of it is reflective of the supply chain disruption. Certainly, there’s a lot of homes that people can’t move into because they don’t have garage doors or they don’t have ovens. And so we’re seeing some of those disruptions. But certainly, as you move through our territory, there’s still just a tremendous amount of construction going on. So we’ll be watching it carefully. But I think at this point in time, we haven’t read too much into it.
Brian Russo: Understood. And the GDP forecast for your service territory. Are those consistent with the prior forecast? Or have they changed for ‘22 and ‘23?
Brian Buckham: I think the forecast of 2.4% in 2022 is slightly lower and then the 5.1% in 2020, I think is consistent, if not slightly higher than prior numbers.
Brian Russo: Okay. Great. And then -- yes. And it looks like below normal pre-IP above normal temperatures. Any expectation for the irrigation season, which I believe starts soon, given the weather dynamic, maybe not as extreme as last year, but it seems as if you might get some greater electricity demand from that customer class?
Lisa Grow: Yes. It is true that in April, they sort of got their irrigation for free, coming from the sky. And that does sometimes delay their crops. And then you’ve got the commodity prices that may expand some of their planting. So we’re going to watch that carefully. But it does look like it’s going to be hot and dry, which is generally good for load. So we’ll stay tuned and sort of see how the season develops.
Brian Russo: Okay. And then just lastly, I think maybe in prior calls, you mentioned that there’s roughly 40% upside to your base CapEx, which I think is about $2.8 billion. And I’m wondering, I noticed you’ve signed several PPAs, 1 with Duke Energy, I believe, a couple of weeks ago. And I’m just curious, how much of that 40% upside is kind of firmly committed for IDACORP to invest? Or is a lot of this going to be contingent on RFP outcomes and/or the B2H increased ownership?
Brian Buckham: Yes. Brian, so the Duke Energy contract was in quite a while ago, now we’re actually looking to have in-service fairly soon, I think for 2023 to early 2023. But the new one that we signed was part of our RFP process. It was a 40-megawatt facility, solar facilities. It will be dedicated to a specific customer, and then we had the 120 megawatts of batteries that we also purchased. So the 120 megawatts are in that capital forecast. Obviously, the PPAs are not. There is an additional component of our forecast of rebate if you’ve seen the chart that we’ve put out that does have us owning some additional resources, and that is subject to the outcome of regulatory process and also from the RFP process. So we’re still working through that. We’re in the early stages of reviewing what we received. Obviously, we have a self-build in there and some of the stuff that we’ve received back does include ownership components as well. Other big pieces of that, though, are things like the Boardman to Hemingway project. We’ve got some upgrades that are natural gas plants that are in there. We have some hydro refurbishments in there. So there’s a lot of other CapEx in there beyond of that future generation resource piece.
Operator: Your next question comes from Chris Ellinghaus with Siebert Williams.
Chris Ellinghaus: Maybe I missed this, but did you give a time line for the RFP shortlist?
Lisa Grow: Adam, do you want to take that?
Adam Richins: Yes. We are currently reviewing proposals and should be looking at a short list for the 2024 RFP this summer. In terms of the 2025 RFP, we’re kind of reviewing our options there, reviewing the proposals and the shortlist for that will probably be later than the summer date for 2025.
Chris Ellinghaus: Okay. It looks like April was pretty cool. I assume you’ve factored that into your guidance at this point?
Brian Buckham: Yes. We forecast for normal weather conditions. April isn’t typically one of our large anyway, and when we can start getting into the hotter summer months, those have a bigger impact. And we’ll start looking more irrigation loads as we get into further into this month and into June as well. So those will be larger drivers than our typical April, but I do think April temperatures were below average in our service area.
Chris Ellinghaus: Okay. Can you give us a little color back to the irrigation outlook hot and dry is definitely good. But how do you -- how should we think about water availability and how that factors into just how much water is available for irrigation in the coming quarter?
Lisa Grow: Well, we certainly work carefully with the state and those that are responsible to allocate the resource. And from what we know now, we think it will be spread around and people will largely be able to get what they need. But certainly, there is a prioritization of water rights and sort of who gets what or who has priority over another right. But at this point in time, we are, again, watching carefully and we’ll see the weather right now is going to be stormy over the weekend and more precise. So it’s really hard to forecast at the moment. But it’s good news that we are continuing to see precipitation.
Chris Ellinghaus: Okay. I know you can’t really talk about individual new customers, but you’ve got some pretty big new loads. Can you sort of talk about what the overall magnitude might look like for your new developing customers?
Adam Richins: Sure. Yes. This is Adam. We continue to see, I think, a steady amount of inquiries that are coming in the door, everything from food and beverage processing to dairies, the biodigesters to technology to manufacturing has really been diverse, and we’re starting to see a little bit more load in the area of electric growth and some buses, electric buses as well. So we seem to be up in pretty much all categories except for the office space at this point. And we’ve had a lot of loads come in the door that are public, of course, Meta, ASIC, Lam Westin, True West B, Idaho, Cobalt, Red River, just a slew of them come in the door and as they start to hook up, I think we’re going to see some benefits in terms of our load.
Chris Ellinghaus: Are we talking about hundreds of megawatts?
Lisa Grow: Yes.
Adam Richins: Yes. We project through the IRP 50-plus megawatts a year, and those projections are in the current plan.
Operator: Your next question comes from Anthony Crowdell with Mizuho.
Anthony Crowdell: Just, I guess, quickly talking about how you’re financing this additional capital. Any thought to utilizing actually the balance sheet at IDACORP versus Idaho Power?
Brian Buckham: So actually, we have a lot of cash on core balance sheet currently. And as we look at some of the uses that. I mean it could be -- some of that could be for dividend purposes. Some of that could be for investment in things like affordable housing like we’ve done in the past. But we have considered things like using a portion of that as an equity contribution or a loan to Idaho Power to help fund some of that CapEx, push some of that potential equity issuance, which, again, we see equity issuance quite a ways out for this. We have a lot of debt headroom to get to our 50-50 target going into a rate case. So a lot of headroom there on the debt side.
Anthony Crowdell: Yes. And I guess maybe if I could then state the question in a different way. Clearly, you do have a lot of debt headroom at the utility. But when I think of the earnings sharing mechanism, that’s based off of a GAAP layer of equity just sort of reconcile the thought of why look to work that down?
Brian Buckham: Yes. I would just say we haven’t taken any option off the table at this point. So there is some potential there. But we’re a little ways out from that. So still trying to put our plans together on how we would do that.
Anthony Crowdell: Great. And then just -- I don’t believe there’s much impact. I think you had also said earlier, I think 95% of the power cost in Idaho get passed through to consumers or rate payers. But I think Slide 10, you do talk about the dry conditions, expectation of lower hydro. I mean are you seeing any type of impact to customers from the lower hydro expected this year?
Lisa Grow: I mean certainly, when we have more hydro, it’s a lower-cost portfolio. So -- but remember that last year, we also had a pretty dry year. So you’re comparing it year-to-year, it may not be a big difference. But certainly, the more high growth or lower the overall cost to our customers.
Operator: [Operator Instructions] That concludes the question-and-answer session for today. Ms. Grow, I will turn the conference back to you.
Lisa Grow: Thank you all for joining this afternoon and for your continued interest in IDACORP. I would like to invite all of you to participate in the 2022 Annual Meeting of Shareholders, which will be held 2 weeks from today, May 19, at 10 a.m. Mountain time. A formal notice has been sent to shareholders with instructions on how to attend the virtual meeting, and we issued a press release a short time ago with instructions on how to listen online via the IDACORP website. We look forward to sharing updates from 2021 and listening to and responding to our shareholder questions. I continue to wish you all good health and to all the moms out there, a very happy Mother’s Day this weekend. Have a wonderful evening. Thank you.
Operator: That concludes today’s conference. Thank you for your participation.